Operator: Good morning, ladies and gentlemen. Welcome to Trican Well Service Second Quarter 2016 Earnings Results Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Dale Dusterhoft, President and Chief Executive Officer of Trican Well Service Ltd. Please go ahead, Mr. Dusterhoft.
Dale Dusterhoft: Thank you very much. Good morning, ladies and gentlemen. I'd like to thank you for attending the Trican Well Service conference call for the second quarter of 2016. Here is a brief outline of how we intend to conduct the call. First of all, Mike Baldwin, our Senior Vice President of Finance and CFO, will give an overview of the quarterly results. I will then address issues around current operating conditions and near-term outlook. We'll then open the call up for questions. I'd now like to turn the call over to Mr. Baldwin to discuss the overview of the financial results.
Mike Baldwin: Thanks, Dale. Before we begin, I'd like to point out that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions were applied in drawing a conclusion or making a forecast or projection as reflected in the forward-looking information. A number of business risks and uncertainties could cause the actual results to differ materially from these forward-looking statements and financial outlook. These risks and uncertainties include, but are not limited to, fluctuating prices for crude oil and natural gas, changes in drilling activity, general global economic, political, and business conditions, weather conditions, regulatory changes, the successful exploitation and integration of technology, customer acceptance of technology, success in obtaining issued patents, the potential development of competing technologies by market competitors, and availability of products, qualified personnel, manufacturing capacity, and raw materials. Among the risks are the ability of the oil and gas companies to finance their operations and other unforeseen factors. Please refer to our 2016 Annual Information Form dated March 29, 2016, and the Business Risk Section of our MD&A for the year ended December 31, 2015, for a more complete description of business risks and uncertainties facing Trican. Our second quarter results were released yesterday and are available on our website at www.tricanwellservice.com. Please note that the comparatives to the first quarter of 2016 and year-over-year comparatives to 2015 are for our continuing operations and we have backed out the discontinued and disposed portions of our business. As noted in our press release, continuing operations revenue for the second quarter of 2016 was $32.5 million, a decrease of 60% compared to the second quarter of 2016. The adjusted operating loss was $19.1 million and adjusted diluted loss per share was $0.26 compared to an adjusted operating loss of $21.1 million and adjusted diluted loss per share of $0.25 in the 2015 second quarter. Funds used in operations were $30 million compared to $30.9 million in the second quarter of 2015. All of our consolidated revenue mentioned above is generated from our Canadian operations and this decrease is largely due to the reduced drilling and completion activity caused by low commodity prices, reduced pricing for our services, and a longer-than-usual breakup in Q2. We also had a number of jobs that were deferred into July due to customer scheduling issues. The job count decreased by 47% sequentially. As a result, we continued to have 50% of our equipment idled during the quarter. Revenue per job also decreased 39% sequentially as a result of smaller job sizes and a shift in our sales mix towards a much higher proportion of lower revenue cement jobs in the quarter and a 7% sequential decline in pricing. The adjusted Canadian operating loss for the second quarter was $10.7 million as compared to the adjusted operating loss of $7.9 million for the first quarter of 2016 and $9.6 million in the previous year. The large revenue drop experienced was mitigated by cost control initiatives that were implemented in the quarter. Trican's Canadian operations fixed cost structure in Q2 2016 has been reduced by 43% when compared to Q2 2015 as a result of workforce reductions, discretionary spending reductions, lower compensation programs, and the transition to a day rate field compensation system at the beginning of June. Trican's variable cost as a percentage of revenue dropped approximately 3.5%, and we estimate that Trican's variable cost will be reduced between 4 percentage points and 6 percentage points of revenue during the remainder of the year. These cost savings are largely driven by reductions in product and chemical pricing, product substitution, base closures, organizational structure changes, and a reduction in repairs and maintenance expenses due to running less equipment. Although repairs and maintenance costs have dropped, Trican continues to maintain our active fleet to ensure high-quality service for our clients. Corporate expenses for Q2 2016 were $1.7 million higher relative to the first quarter of 2016. However, nonrecurring costs, such as severance and non-cash base expenses, totaled $5.4 million for the quarter. Personnel, professional, and legal expenses decreased by approximately $1.8 million compared to Q1 2016, but cash-settled share-based compensation expenses increased by $1.8 million as a result of Trican's strengthening share price during the quarter. Management continues to review the corporate costs relative to the company's transformation from a large international pressure pumper to a Canadian-based company. We ended the second quarter with approximately $76 million of cash and available debt and $38.7 million of restricted cash that paid down a portion of the notes payable during the third quarter. Managing cash flow and strengthening our balance sheet has been a primary focus for Trican for over a year now and we will continue to focus on this for the duration of this downturn. Capital expenditures for the first six months of 2016 totaled $200,000 compared with $8.5 million for the first six months of 2015. With the decline in commodity prices and pressure pumping demand, capital expenditures will be kept to a bare minimum until operating conditions improve. A substantial amount of equipment is expected to remain parked throughout 2016, which is expected to meaningfully reduce the amount of repairs and maintenance expenses and capital expenditures required during 2016. Trican had three major events take place during and subsequent to the second quarter. We closed the sale of our completions tools business to National Oilwell Varco on July 13, 2016, which effectively ended all of Trican's international operations. The total gross proceeds of the sale were $53.5 million, including $30 million of cash consideration and $23.5 million of share consideration. Trican also successfully closed a public equity offering for aggregate gross proceeds of $69 million. We applied the net cash proceeds from both of these transactions to further reduce outstanding debt, paying down our revolver and senior notes on a pro rata basis. Lastly, in conjunction with the above equity offering, Trican amended its agreement with its bank lenders under its revolving credit facility and senior note holders. The second 2016 amended credit agreements include a removal of covenants for the remainder of 2016 and a 5 times leverage ratio and 2 times interest coverage ratio commencing in Q1 2017 and calculated on an annualized basis until Q4 2017. An equity tier of $20 million will also be added to our EBITDA beginning in Q1 2017. Trican has been dedicated to reducing our debt levels throughout this downturn. And after adjusting our net debt balance as at June 30, 2016, for the application of the completion tools sale, our pro forma net debt balance is approximately $138 million. We continue to believe that our reduced cost structure and focus on profitability along with the recent amendment to our debt agreements and our reduced debt levels put the company in a solid financial position to endure this downturn and come out the other side a stronger company. I will now turn the call over to Dale, who will be providing comments on operating conditions and strategic outlook.
Dale Dusterhoft: Thanks Mike. We experienced a significant drop in revenue from our Canadian operations during the second quarter, with revenue dropping 59%, compared to the same period in 2015. Cost savings implemented in the first half of the year mitigated much of this revenue drop, and our adjusted operating income improved by $2 million, compared to the previous year. Our fixed cost in particular were reduced substantially by 43% year-over-year and were reduced by approximately $16.5 million during the second quarter relative to the first quarter. And we expect to continue to realize these savings for the remainder of the year. In addition, we are expecting a reduction in variable costs of approximately 4 percentage points to 6 percentage points through the second half of the year relative to the first quarter variable cost structure. All of these initiatives combined with an increase in revenue will improve our second-half results. The revenue drop we experienced in Q2 is related to the low rig and well count, compounded by our customer base not being active in the quarter or deferring fracturing work planned in June until July. Fracturing was particularly slow in the quarter, as in addition to that bump, we chose not to work at negative field margins on some bids, which reduced our fracturing job count. The rig count and well completion activity have started to trend upwards in the third quarter and we are now running at full utilization on the 50% of our fleet that is active, with only weather-related delays. Although we have seen improvement in rig counts since the second quarter, we still anticipate that well and rig count will be down approximately 50% year-over-year in the industry. And our activity will be down 10% to 15% from first-quarter levels. Please note, this is a different number than what was issued in our press release, and we will be issuing a correction shortly. The 30% to 35% drop in activity noted in our press release relates to year-over-year drop in activity and not sequential. Visibility is limited to a few months, and although our customers are becoming more optimistic in their views on a recovery, this has not yet translated into firm programs. And uncertainty still remains around of what the activity levels will be during the second half of the year. Service intensity continues to increase as our sand per well is up 79% and stages per well are up 19% year-over-year. This increase in service intensity, combined with longer laterals and better rig efficiency, will help to rebalance the Canadian pressure pumping market when a recovery occurs. Activity remains strong in the Montney, Deep Basin, Duvernay, and other liquids-rich gas plays. As the price of oil improves, we anticipate an increase in Cardium, Viking, and other oil-related plays. Our customer base has remained strong and many have now gone back to work after breakup, resulting in the increase in utilization we are currently seeing. We believe that our customers are becoming increasingly more comfortable with current commodity price expectations and may gradually increase completion programs during the remainder of 2016 and into 2017. However, they are cautious on ramping up their plans at this point in time. As a result, Trican will remain focused on efficiencies and costs to ensure that the company optimizes its cost structure to the revenue generated in order to optimize profitability and cash flow for the remainder of the year. The company experienced pricing degradation during the second quarter and we expect pricing to slowly improve from the Q2 bottom during the third quarter. We believe that we have seen the bottom of pricing levels and do not anticipate any further degradation in pressure pumping pricing. Pressure pumping pricing is at an unsustainable level and we will work to slightly increase prices in the second half of the year if utilization remains high. We expect the improvements in utilization from further rightsizing our fleet, combined with reductions in our cost structure, will lead to improved margins and cash flow in the second half of 2016. Saying that, variable margins are very low in current pricing, which will limit our profitability until pricing improves. We do not anticipate adding any additional equipment to the market until operating margins improves and we will instead work to improve pricing and manage cost going forward. We will continue to be vigilant in monitoring customer activity levels and profitability and will continue to quickly adjust costs and equipment levels as operating conditions change throughout the remainder of 2016. We are committed to reducing our costs in all areas after taking the steps necessary to generate positive cash flow going forward, despite this difficult operating environment. Trican is focused on strengthening its balance sheet throughout this downturn and believe that we are well positioned to weather the downturn, remain a segment leader in the Canadian market, and thrive when the commodities return to a more stable position. I thank you for your attention today and your interest in Trican. And I'd like to turn the call over to the operator for any questions. Thank you.
Operator: Thank you Mr. Dusterhoft. [Operator Instructions] Our first question is from Sean Meakim, with JPMorgan. Please go ahead.
Sean Meakim: Hi good morning.
Dale Dusterhoft: Hi Sean.
Sean Meakim: Dale, you noted in your opening remarks about the increasing service intensity. And I guess, I was hoping you could maybe elaborate in a little more detail what that means in terms of frac fleet sizes, some of the other changes that are happening on the well site that can impact the business as we look into 2017 here?
Dale Dusterhoft: Yes, it's a good question, Sean. Basically, frac fleet prices have gone up a little bit. We haven't seen a massive ramp up on that. I think there's some jobs where we'll see a pretty substantial increase in the amount of horsepower on location, but most of it is up kind of in the 10% range. What it does do in terms of job size is increasing our revenue per job, our time on location, and ties up our fleet longer than it would have been in the past on completing a well. And that probably has an impact on the recovery as much as anything and that fleets are just tied up on pads and locations longer than they were in the past. And so you'll need more fleets to service the well count than you used to.
Sean Meakim: Right, that makes sense. And to maybe expand that a little more, as we think about what that could mean for beyond just fleet size, but also thinking about the desire of E&Ps. Perhaps in 2016, there's an incentive to kind of go slow. But what do we think about as things pick up and folks feel more optimistic, do you think among - in the Canadian EMP, is there any shift in desire to go faster in terms of 24/7 operations? Or given ways to kind of maximize the impact of production? Just thinking about how that dynamic may be today versus what it could look like next year?
Dale Dusterhoft: Yes, I think our customers are always focused on efficiency right now. And so are we, because that's - it's a cost saving for both parties. And I wouldn't say that there is a significant change in 24-hour ops because we for the most part made a lot of those moves already. So I wouldn't anticipate that we're going to see much more change on that front in terms of crews working 24 hours. But I do think that our customers' view right now is to drive more efficiency if they can through being ready on their pad, so there's less downtime between wells, downtime between pad moves, downtime on travel, all of those things that will hopefully get a little bit more efficiency out of it. But we are as an industry and I think as a company and our customers as well, we are quite a ways down that path already. So the improvements aren't massive on that front.
Sean Meakim: Okay, got it. That's very helpful. And just one more question I have is a year ago, less than a year ago, as we were heading into 2016, it seemed like budgets were constantly changing in real-time, given the dynamics of what was happening in the crude price. As we think about heading into the fall and into 2017, I guess do you have a guess on how quickly we'll start to get budget numbers here for next year? Does it look more like a traditional year or are the E&Ps likely to try to stay a little bit closer to the vest to get more of an indication of commodity prices heading into next year?
Dale Dusterhoft: Yes, you know, our customers are very fluid on their budgets right now. And we are seeing that even this quarter. So, I would say every customer reviews their budgets and their capital commitments and programs quarterly and makes changes as they see their business change and commodity prices change. So, we've actually seen number of our clients increase their budgets this quarter already. We haven't seen that transfer into work programs, and we haven't talked to them about when that comes, if it comes into Q4 type activity or later Q3 or whenever. But from a press release standpoint and from the Board meetings that have happened, we have seen some customers already proactively increase their budgets. And I anticipate as we go through the year, you'll just see this quarterly type adjustments as customers get better visibility and more comfort around whether commodity prices are going to remain stable or increase or decrease.
Sean Meakim: Fair enough, Okay, great. Thanks a lot, Dale.
Dale Dusterhoft: Okay, thanks Sean.
Operator: Thank you. [Operator Instructions] Our next question is from Ian Gillies with FirstEnergy Capital. Please go ahead.
Ian Gillies: Hi guys.
Dale Dusterhoft: Hi Ian.
Ian Gillies: Thanks for that. I was just - I wanted to make sure I heard correctly about the Q3 commentary. Did you say you think activity is going to be down 10% to 15% from Q1?
Dale Dusterhoft: Yes, we did, and that's a correction. I want to make that very clear to everybody: that's a correction of what we had in our press release and we'll be correcting that here shortly on a press release.
Ian Gillies: Perfect. And with that in mind, that still is a slight downdraft to I guess what was in the - what would have been in the Q1 release. And I'm just wondering what's driven some of that downdraft in activity? Have you seen customers switching or are your customers just less active than you were anticipating due to commodity prices? Or what has driven that change?
Dale Dusterhoft: Yes, so that's about as we were believing before that Q2 would come up a little bit. And basically, I think it's commodity prices and our customers just staying cautious about their programs, essentially not ramping up quite as quick as maybe we would have thought coming out of a breakup. But still a pretty substantial increase over Q2.
Ian Gillies: Okay. And with respect to pricing, do you think you'll start to see any of that in Q3? Or do you think it starts to come in Q4? And what gives you confidence that some of your peers won't just throw equipment back into the market to undercut your efforts to get higher pricing?
Dale Dusterhoft: Yes, so there's two aspects. We think we get a little lift off of Q2 levels, just because Q2 has some spot market pricing in there and some lower pricing in there that you normally get in Q2. So you get a little lift off of that going into Q3. But the more material part is us kind of fundamentally starting to move prices slightly upwards because we think we have to. As I said, it's kind of an unsustainable position. And that is our goal. I can't comment on what our competitors will do, but I believe that all the pressure pumping industry is feeling the same pain on pricing. And we're hoping that everyone kind of follows suit if we're trying to move prices ourselves. And we are committed to trying to make some moves upwards because we have to. We believe it's - we're at a point where we just need to see a little bit better pricing and we'll see how successful we are. We are not, by no means are we guaranteeing that we are able to do this. We'll have to see how the competitive landscape plays out.
Ian Gillies: Okay. And for G&A, are you able to provide any guidance around what a cash run rate is? Or did you say, I may have missed it earlier in the call.
Mike Baldwin: Yes, I think you can kind of take it with what you saw in Q2 for the corporate expenses, as well as the G&A expenses. We don't expect those numbers to change substantially from there. I think we're - at this stage anyways, we're thinking that's going to be fairly constant.
Ian Gillies: Okay. And the last bit in …
Mike Baldwin: And you're correct that that's on the adjusted numbers. It's not, not.
Ian Gillies: Yes, so about $8 million or so.
Mike Baldwin: Yes.
Ian Gillies: Okay. And maybe the last thing. I was a bit surprised to see that the value of your Keane investment went up quarter over quarter. I mean, was that largely an FX move or has something happened to that business that is performing materially better than you would've expected?
Mike Baldwin: No. I mean, there's - you have to do a fair valuation every period on investments like this according to the accounting rules. And so that valuation is largely based on a present value calculation that goes out over five-plus years. So, I think that's just a little bit more indicative of a little bit more certainty and a little bit more enthusiasm around where oil and commodity prices are going in kind of 2017 and beyond. And as a result, more pressure pumping activity. So I would kind of characterize it as a bit more of a mechanical calculation, but what underlies that mechanical calculation is better mid- to long-term view of where the business is going. And I think it also kind of mirrors what you would've seen in Q2 for a lot of the pressure pumpers and their share prices moving up. So they're a private company, but they're impacted by the same market dynamics. So, I think you can kind of draw of bit of a correlation on that basis.
Ian Gillies: Okay, thanks very much. I appreciate that, Dale. I'll turn the call back over.
Dale Dusterhoft: Okay, thanks.
Operator: Thank you. Our next question is from Jon Morrison with CIBC World Markets. Please go ahead.
Jon Morrison: Good morning all.
Dale Dusterhoft: Hi Jon.
Jon Morrison: Dale, just on the pricing side, are you still seeing competitive bids that are being done at decent discounts to field margins at this point in the landscape in the last few weeks?
Dale Dusterhoft: We'll still see the odd ones, yes, yes. So there's some we are losing that we look at and kind of shake our head on. So yes, there's little bit out there like that. It's not as bad as it was in Q2. And I would say that we're not participating in those still. We think that negative field margins doesn't make sense, so we kind of have a line in the sand that we draw. But there's the odd one that comes out that we think is probably in the negative territory.
Jon Morrison: And it's fair to assume that's not a singular competitor and you're seeing it at odds and sort s of different competitors? Or it's really narrowed down to one or two guys at this point?
Dale Dusterhoft: I think it's narrowed down a little bit from where was to one or two guys.
Jon Morrison: Okay. You highlighted that you haven't reactivated any crews at this point. In the very near term, you're not expecting to. And I'm just wondering if you can help us gauge when you – or ultimately help us understand how you're going to gauge when is the right time to reactivate capacity. Is it going to be utilization based over a set period of time or do you need to achieve some base level acceptable margins? And if so, what would be the acceptable margin that you're going to be looking at reactivating crews?
Dale Dusterhoft: Yes, it's for the most part, it's base level acceptable margins. So what's important to us is generating EBITDA or operating income. And if we can start getting the crew economics working so that they are generating, the number that we would have in mind at is around 15% EBITDA before we start looking at activating. That makes sense to us. Now I will say that if you have a core customer that is looking to – that's very core to your company that is looking to expand their work scope and you know that those margins are coming, you may activate a little ahead of seeing those margins. But you know that there's some visibility to some improvement in the industry. So it's not a hard line in the sand that 15% is the number, but we have to see some visibility that we are heading there.
Jon Morrison: You talked about not doing any unprofitable work in the quarter. But if I look at your gross margins, it would imply that some stuff must have been done fairly close to cash breakeven or maybe a touch below. Am I correct in that assumption or am I just underestimating the fixed operating cost of the business?
Dale Dusterhoft: No, you're correct in that assumption in that some was down low. But what we said is we declined to bid on some others that we thought was really low. So it's not that we didn't do some that was tight field margins, I'd say, breakeven or a slight positive in our models.
Jon Morrison: Okay. Throughout every downturn almost, every service company says that they are laying down all of their capacity in pristine condition and ultimately it is going to be able to go back to the world – back to the field with almost no capital outlay. And then inevitably, the cycle turns and a lot of money gets spent. So, I'm just wondering how you think that you're going to fare as you go into 2017? And is there a set amount capital we should be thinking about building in from a CapEx perspective for every crew you could put back to work in the next, call it, four or five, six quarters?
Dale Dusterhoft: Yes, I would say that we are still very comfortable that our equipment is in good shape and we're not scavenging. So what we don't do is take pumps and big motors off of existing equipment and put it onto a unit that needs to be repaired. So that's what we're not doing. But I also – there are some units that we park that don't require repairs at this time and we won't repair them during Q2 in particular. So there's a little bit of that going on. I don't have a number yet on what a crew would cost to put into service, but we're managing that pretty closely with an eye to the future. We're not just decimating our equipment so we got a big CapEx coming, but nothing we can give guidance on at the present time.
Jon Morrison: So it's fair to assume that the $200,000 of CapEx that you guys have spent year to date shouldn't be read too much into, as ultimately your repair and maintenance expenditures have been healthy all the way throughout the cycle?
Dale Dusterhoft: Yeah, that's correct. I think part of it is that a lot of our R&M flows through our P&L, right. So not all of it comes through CapEx is the way we're set up to do it. And so our P&L, R&M has stayed pretty constant through this as a percentage of revenue. And we continue to fix things that way. And then major capital, we still have spare parts that we are using and things like that that if it's a major item, we still have some that we can whittle down on.
Jon Morrison: Just as a point of clarification around that 10% to 15% decrease that you mentioned in Q3 over Q1. Is that your view of the broader market that you are competing for market share in or that's your view of your book of business and basically your customer conversations at this point?
Dale Dusterhoft: That's the view of our book. I think the broader market, we are still, as I mentioned, we are still thinking that activity or rig count is down about 50% year-over-year. And I can't say what it would be down off of Q1 levels, I don't have that number.
Jon Morrison: In the release, you talked about having some visibility into 2017 from a customer visibility perspective. Does that imply some long-term embedded pricing? Or basically you just have some visibility that work will continue and it will be kind of spot market price-based?
Dale Dusterhoft: I think our view is on that that – well, I know our view is that we don't have very good visibility into 2017 for work programs. But we do have a view that customers have improved – basically have improved their view of where 2016 and 2017 is. And that we think that they may gradually increase their completion programs during the remainder of 2016 and into 2017, but no real firm visibility as to commitments and things like that.
Jon Morrison: Last one just for me. In terms of your discounted or your discontinued operations, you guys have about $11 million of liabilities in that business. Based on your conversations about selling those assets, is it fair to assume that you expect some good positive cash proceeds net of those liabilities?
Mike Baldwin: Most of those liabilities would be related to the completion tools sale. So there's a little bit left for items in the United States and any other international locations. But I'd probably say, rough estimate, a good 80% of that number would be related to the completion tools business that's obviously gone now.
Jon Morrison: Okay. So it's fair to assume that you should still get a tailwind of possible cash off of any sales that get done?
Mike Baldwin: Yes. I mean, I wouldn't expect a big number, but yes, that's a fair assumption.
Jon Morrison: Okay. I appreciate it. I'll turn the call back.
Dale Dusterhoft: Thanks, Jon.
Operator: Thank you. Our next question is from Jeff Fetterly with Peters & Co. Please go ahead.
Jeff Fetterly: Good morning, guys.
Dale Dusterhoft: Hi, Jeff.
Jeff Fetterly: Dale, your comments earlier about some incremental spending or activity on the customer side, how long or how far out does your visibility extend today?
Dale Dusterhoft: Yeah, right now, it's basically out to September.
Jeff Fetterly: And when you think about some of the incremental CapEx programs that your customers have announced, and as you said, the potential for that translate into activity, does that fill up the board for the fourth quarter? Or is that incremental to what you were thinking about your activity going to look like in the fourth quarter?
Dale Dusterhoft: Yeah, it would be incremental, partially incremental right now, I guess. We've factored into our forecasts some increase because we thought our customers were going to increase their programs into Q4. So we've factored in some increase. But I'll be honest with you, our customers have just released a lot of that data. And we don't have firm guidance from them as to how that translates into additional wells yet completed. So we haven't factored in that into Q4 at all.
Jeff Fetterly: So if you're running at capacity today, or at full utilization on the 50% of assets that are active, does that suggest that you need to potentially reactivate some assets in the fourth quarter if these customer indications play out?
Dale Dusterhoft: That's possible, yes. We'll have to see how that looks or it's kind of what I said earlier, though, we are reluctant to reactivate assets unless pricing improves a bit. So it's a bit of a dynamic that we have to play through now. But it's possible that if we could see a little bit of pricing movement or commitments going into late 2016 and 2017 that we would look at activating equipment, but it is going to have to be at better margins.
Jeff Fetterly: Okay. The 15% operating earnings EBITDA threshold you mentioned earlier, do you need pricing to move higher from where it sits today to achieve that or at full utilization? And is that something that's achievable?
Dale Dusterhoft: No, no. We need prices to move higher. Full utilization won't get us there right now because variable margins are just too small.
Jeff Fetterly: Okay. Last thing, the commentary in the release about sand pumped per well and stages per well, the 18% and 20-ish% year-over-year increase, respectively. How much of that is a function of mix and how much of that is some of the structural changes that you are seeing in the market?
Dale Dusterhoft: In mix, do you mean plays, the type of plays we are working on?
Jeff Fetterly: Yes, the type of plays or the concentration in areas like the Montney and the Duvernay and the Deep Basin that you've highlighted.
Dale Dusterhoft: That's a good question, Jeff. And we haven't done that analysis – or I haven't done it and I don't think we have done it as a company – well, I know we haven't done it as a company, either. So I can't say this point at time, but I do know that we are doing more Montney/Deep Basin work than we are oil play work that would have been lighter sand per well in the past just due to the depth of the wells and some of the lateral distances. So there is some aspect to that into those numbers that would be related to the type of place we're working on in the mix.
Jeff Fetterly: Okay. Do you know offhand or even just a ballpark estimate, so the Montney, the Deep Basin, the Duvernay, how much of your workflow that would represent today?
Dale Dusterhoft: It's in the 70%, 75% range. We'll call it liquids-rich gas plays and that kind of encompasses a number of different things.
Jeff Fetterly: Yeah. Okay, great, thank you. I appreciate the color.
Dale Dusterhoft: Thanks, Jeff.
Operator: Thank you. Our next question was from Brian Purdy with PI Financial. Please go ahead.
Brian Purdy: Good morning, guys. Most of my questions were answered. I wanted to ask about your comment here, though, on fairly full utilization, except for weather interruptions. Obviously, we've been having a pretty wet summer here out West. I'm just wondering how much of an impact you think that's going to have and have you incorporated that into the guidance that you've given already?
Dale Dusterhoft: Yeah, so basically what happens with weather-related issues is that it doesn't cancel work, it just defers it. And we did see some – we definitely saw some in July, we are seeing a little bit in August, and it's just a matter of whether we dry up near the end of August and September as to whether we get those jobs all caught up in the quarter. We still will do them, maybe they get pushed into October at worst case. But they are still on the books to be done. And so our guidance that we gave does not include weather. So we are assuming that we get those jobs done in the quarter, and if we have some weather and it gets – some of those get pushed, they'll get pushed into Q4.
Brian Purdy: Okay. So just to clarify then. You think you have enough spare capacity in the 50% of the fleet that's working to catch up all that work that's been deferred in July and the first part of August here?
Dale Dusterhoft: Yes, we do. We believe we can still catch it up, yeah.
Brian Purdy: Okay, okay, that's great. Thanks very much.
Dale Dusterhoft: Okay, thanks, Brian.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to you, Mr. Dusterhoft.
Dale Dusterhoft: Great. Well, thank you very much for your interest in Trican and we certainly look forward to talking to you after our 3Q 2016 numbers are released. Take care and have a very good day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.